Operator: Hello and welcome to the Finance of America’s Third Quarter 2023 Earnings Call. All lines have been placed on mute to prevent any feedback noise. After the speaker’s remarks there will be a question-and-answer session. [Operator Instructions] I'll now turn the conference over to Michael Fant, Senior Vice President of Finance. Please go ahead.
Michael Fant: Thank you and good afternoon, everyone and welcome to Finance of America’s third quarter earnings call. With me today are Graham Fleming, Chief Executive Officer and Interim Chief Financial Officer; and Kristen Sieffert, President of Finance of America. As a reminder, this call is being recorded and you can find the earnings release and presentation on our Investor Relations website at www.financeofamerica.com In addition, we will refer to certain non-GAAP financial measures on this call. You can find reconciliations of non-GAAP to GAAP financial measures discussed on today's call and our earnings press release and presentation on the Investor Relations page of our website. Also, I would like to remind everyone that comments on this conference call regarding the company’s expected operating and financial performance for future periods may be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on the company’s current expectations and are subject to the Safe Harbor Statement for forward-looking statements that you will find in today’s earnings release. Actual results for future periods may differ materially from those expressed or implied by these forward-looking statements due to a number of risks or other factors, including those that are described in the Risk Factor section of Finance of America’s Annual Report on Form 10-K for the year ended December 31, 2022 filed with the SEC on March 16, 2023. As such, risk factors may be amended and updated in our subsequent filings with the SEC. We are not undertaking any commitment to update these statements if conditions change. Please note today we will be discussing interim period financials and are unaudited. Now, I would like to turn the call over to Finance of America’s Chief Executive Officer and Interim Chief Financial Officer, Graham Fleming. Graham?
Graham Fleming: Yes, thank you, Michael. Good afternoon, everyone and thank you for joining us. Before we begin, I would like to acknowledge Johan Gericke's departure from Finance of America effective October 13. We appreciate Johan's work during his tenure and we wish him well in his future endeavors. Looking ahead, we're excited for Matt Engel to become Finance of America's Chief Financial Officer effective November 15. Matt is a seasoned financial leader with deep reverse mortgage industry experience and will play an important role supporting our goal of offering modern retirement solutions that utilize home equity for older homeowners. We look forward to introducing Matt to everyone after he officially starts as CFO later this month. To begin, I would like to briefly review our top line financial results for the quarter and the macro trends affecting them. I will then turn things over to Kristen to share some important operational updates followed by a review of the financials from Michael. Finance of America continues to lead the way in helping homeowners 55 and older benefit from their growing home equity and remains the preeminent provider of modern retirement solutions focused on the home. Along this path, there were several key strategic actions taken during the quarter as we continue to focus our vision towards the retirement space. First, we completed the sale of our Title insurance business during the first few days of the quarter. In September, we completed two additional transactions to further refine our focus. These were the sale of the operational assets of our Home Improvement platform and the transition of our offshore fulfillment services team. Understanding our commitment to building a modern retirement solutions platform, we saw this as a unique opportunity to advance our goals. On a continuing operations basis, we recorded GAAP net loss of $172 million or $0.74 per basic share in the third quarter, driven primarily by the negative impact of rates and spreads. On an adjusted basis, we recognized a net loss of $25 million or $0.11 per fully diluted share as we absorbed additional losses from the Home Improvement platform and downward pressure on margins. Balance sheet write-downs make up a significant portion of the GAAP net loss due to fair value adjustments and interest rate increases impacting the portfolio. Amid a challenging macro environment, we are focused on executing against what's in our control. With this focus, we have identified core operating initiatives which will enhance revenue and improve expenses within our operating segments and will also streamline our corporate overhead. As laid out on Slide three of the supplemental presentation, Finance of America is focused on a number of items. To enhance revenue we are looking to expand our product suite, modernize the customer experience and optimize our marketing opportunity to lead conversion. To improve expenses, we are planning to consolidate our technology, lower our cost to produce and efficiently scale our marketing. Finally, to rationalize corporate, we will continue to streamline our enterprise functions and simplify our structure to more appropriately align with our go forward operational strategy. I will now turn things over to Kristen for an update on our operations, the integration with AAG and the work we've been doing to enhance our products and sales channels.
Kristen Sieffert: Thanks, Graham, and good afternoon, everyone. I'm happy to share that our integration of AAG's retail platform into FOA is on track. Team morale is high and everyone is excited to come under one umbrella and begin offering the full array of products of the combined company. As we've said before, we believe a substantial opportunity exists to offer our proprietary products through our direct-to-consumer division, AAG. These products are already the leading suite of available options in the wholesale sector within our industry and for many gaps not addressed through the traditional HECM product. We've already seen an increase in volumes following our acquisition, which gives us confidence in the opportunity for greater penetration as we move things forward. As we continue the integration, the final significant hurdle is the consolidation of our technology stack, which includes migrating to a single loan origination system. This migration is projected to start in December and should largely be completed by the end of Q1 2024. While we know this will temporarily slow some of our operations, there are many workflow and expense efficiencies to be gained post consolidation. As it relates to production, while rising rates put downward pressure on loan to value levels, there's been no degradation in inbound inquiries from our borrowers. These borrowers need alternate ways to access their equity and the broader market dynamics have created an increased appeal of our HomeSafe second lien product. We will be better able to serve those borrowers go forward through two main avenues. First is expanding this product to the full sales team within the AAG call center, which is scheduled to occur this month and second, by making the product available in the loan origination system used by the majority of industry originators that do business with us through our wholesale division. HomeSafe Second helps homeowners 55 and older access their home equity through a second lien without impacting their low first rate mortgage and without adding a new monthly mortgage payment. This is the first product of its kind and was built to provide access to equity to the many people not being served by the existing options in the market today. Given that homeowners in our demographic hold more than $12 trillion in home equity, extending the product through these channels is a strategic step to unlocking more of this market. To remind everyone, AAG's direct-to-consumer channel reaches more than 20 million consumers annually via targeted marketing and advertising and has long been the leader in HECM submission volume. In all, we're very excited with how these efforts are progressing. The final technology consolidation occurring over the next two quarters will enable us to focus on increasing our market penetration through the optimization of the marketing and sales platform and expanding product suite and a modernized digital customer experience. Over to you, Michael.
Michael Fant: Thank you, Kristen. I'll start by providing a brief overview of our financial results before I dive into specifics on the quarter. Turning to the operating results, the company recognized the GAAP net loss of $172 million or $0.74 per basic share in the third quarter. On an adjusted basis, we recognized a net loss of $25 million or $0.11 per share. First and foremost, we increased volumes in the third quarter. In our reverse business we originated $470 million in loan volumes, up 18% from $397 million in the second quarter. This was primarily due to the successful integration of the AAG retail platform. During the quarter, we maintained over 37% share of the HECM reverse market. While the increased volume provided upward pressure on revenue, the top line ultimately came in relatively flat due to reduced margins. Our margins fell from 9.2% to 7.8% quarter-over-quarter due to several factors, including ten year treasuries rising 74 basis points. If margins had held constant to the second quarter, our growth in volumes would have equated to an $8 million increase in revenue. As shown on Slide 4 in the supplemental presentation, our core operating segments continued to execute against our strategic plan during the quarter. The divestiture of our Home Improvement and Offshore Fulfillment operations are not considered material from a GAAP perspective and as such do not qualify as discontinued operations. However, when these business line results are excluded from our quarterly reporting, our Retirement Solutions and Portfolio Management businesses recognized adjusted net income for the quarter of just above breakeven. While adding or when adding in corporate overhead, Finance of America would have recognized adjusted net loss of $19 million for Q3 or approximately $0.08 of earnings per share in line with what we discussed on our Q2 call even with this reduction in margin. Additionally, we continue to focus on reducing our cost base as planned and are making solid progress. Since the peak in early 2022, we've achieved approximately $80 million in annualized savings or with the baseline of our $80 million to $100 million goal. In the third quarter, we saw a reduction in corporate expense of 17% compared to Q2. Our success is the result of further reductions in overall corporate spend and the rightsizing of our corporate structure. We're pleased with our progress to date and are on track to identify additional savings in the fourth quarter and beyond. With that, let me hand it back to Graham for closing remarks.
Graham Fleming: Thank you, Michael. Overall, this was another busy quarter with several macro headwinds beyond our control, but we remain focused on ensuring our long-term success and sticking to our strategy as we have been. Without these headwinds, the company has the ability to generate enterprise value via earnings from our core operation or increase to the fair value of our assets should raise and or spreads improve. We are seeing real traction across our business, improving our top and bottom lines, leveraging the AAG channel and taking real steps to becoming better partners for our customers by providing them with the tailored retirement solutions they need. Before we open the call to questions, I do want to take a moment and send our deepest sympathies to the friends and family of Patty Cook. Patty was an extraordinary leader of Finance of America, but more importantly, she was a wonderful woman and friend. Her impact on Finance of America and all of us will never be forgotten. And with that, we'll open the call for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Stephen Laws of Raymond James. Your line is open.
Stephen Laws: Hi, good afternoon. I guess maybe bigger picture Graham is, as you look out and there are some things are out of your control here near-term and you're working on expense reductions. When you look out, what do you think the adjusted net income kind of run rate or earnings power is of the platform? And is that something you think will be achieved more through volume growth or expense reductions or kind of what's the mix of those two things that are going to kind of drive us to this targeted adjusted net income number?
Graham Fleming: Yes, sure. Thanks. Thanks, Stephen. So first of all right, I think we outlined in our presentation, we've probably got eight or nine things in front of us for the next two quarters that we're looking to accomplish by the end of Q1 of 2024. With that right, we'll be able to complete the transformation, the pivot and the integration of AAG, right. So we think that will get us to a cost structure that's optimized for where we're at today. What we've said in the past is that at $300 million a month or roughly $900 million we think we can achieve that $0.40 of A&I [ph] and we do believe that that is still an appropriate level of volume. We're 460 a month where we have some way to get to that 300, but we do believe based upon the marketing that we've been doing and the inbound phone calls that we are getting from the customers that there is a meaningful demand for the product. That's why we rolled out the second product because with the increase in rates LTVs to the consumer were coming down. People still need to access the equity. So we've had no and we're fully confident that the marketing will drive the leads and ultimately when we integrate the seconds and the digitization and the consolidation of the LOS [ph] the volume will follow.
Stephen Laws: Great. And then kind of on a maybe the next quarter or two on a volume standpoint, I think I've heard during the prepared remarks that some of the technology consolidation may, yeah, cause a hiccup in near-term volume and maybe any seasonality also around your end, but can you give us some idea of what's your, near term volume expectations are?
Graham Fleming: Yes, I think I'd answer that were similar. I would say similar 5% to 10% of where we were in Q3. And I think Stephen, it's primarily driven from the seasonality issue. We do have -- we have had strong submissions. We do have a strong pipeline. It's just a little unclear. As you come through November, December, January, as you know that there's going to be a little seasonality in play here, but I would from what I see today I project volumes in Q4 and Q1 to be similar or slightly above what we saw in Q3.
Stephen Laws: Great. And my final question Graham, kind of bigger picture, second quarter in a row we've had a lot of Fair value marks run through the revenue line. How core or do you view portfolio management to the bigger platform, is that a business segment that could be sold or there possibly other accounting measures you could look at to reduce kind of the volatility of the income statement or are those fair value marks just something we've got to live with for better or for worse?
Graham Fleming: So the fair value at the end of -- on our jumbo residuals was under $40 million at the end of the quarter. So we've had -- so there's two things at play here, right? One as we have to make adjustments to the fair value, you're also impairing the GAAP earnings, because you don't have a yield on the residual to recognize as well Stephen. So not only do you have the right down, but then you're also -- you've got a lower residual that you're recognizing the yield on. So I would -- we can have this conversation, I would call it maybe the top of where it is in, and hopefully we do see an end to these fair value marks running through the P&L going forward.
Stephen Laws: Got it. I appreciate the comments this afternoon, Graham. Thank you.
Graham Fleming: Thanks, Stephen.
Operator: There are no further questions at this time. I will now turn the call over to Graham Fleming.
Graham Fleming: All right. Thank you everybody for joining the call. As you can see, we're making tremendous strides towards our strategic initiatives and we look forward to updating everybody on our next call towards the end of Q1 2024. Thank you everybody and have a good evening.
Operator: This concludes today's conference call. You may now disconnect.